Operator: Good day, and thank you for standing by. Welcome to the Prosegur Cash Q3 2025 Results Presentation. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Javier Hergueta, CFO. Please go ahead.
Miguel Ángel Bandrés Gutiérrez: Good morning to everyone, and thank you for joining us today. I'd like to welcome you all to our 2025 Q3 results presentation, led by our CFO, Javier Hergueta, and myself. The presentation should take around 30 minutes, during which we will review key developments affecting our business and its performance. We'll after move on to review our key financials, followed by an update on our transformation strategy, as well as main developments by region. We'll then end up with conclusions before opening a Q&A session. Should we not get to respond to everything today, we'll get back on any open topics on an individual basis. I want to again thank you all for attending, and remind you that this presentation has been prerecorded, and is available via webcast on our corporate web page at www.prosegurcash.com. Before handing over to Javier, as we always do, I would like to share some interesting cash news in different geographies. They range from the use of cash in Latin America, the need for improving cash servicing in the U.K., a major disruption on multiple digital payment systems or the sustained demand for banknotes during major crisis. These aspects covered by the mentioned article show many of the unique attributes of cash that are not replicable and only stress its vibrancy and relevance. First, we can read from electronic payments company, Mastercard. The cash is the most widely used payment method in Latin America, being used by over 60% of respondents. And being some reasons for such a high adoption rate, it's unique convenience and the security it provides to the end user. I would like to highlight from this article 3 elements of relevance to us. First, it underlines unique characteristics cash has as a payment mean, such as its convenience and its security. Second, that it refers to Latin America, our most relevant geography, and where cash has a particularly strong role to play. And third, that it comes from Mastercard, whose business interest is contrary to the use of cash. The second piece of news, we can read from The Guardian in the U.K. referring to some latest surveys that indicate that over 70% of people in the United Kingdom support the use of cash. It underlines that the recent growth it's experiencing is leading to some businesses not having sufficient capacity to serve their end customers' cash requirements. It's particularly important to note 2 aspects. One, new to this presentation, the continuous growth in cash usage in the mature U.K. market; and second, that cash needs a certain minimum infrastructure to be run in an effective manner. To this end, we must remind the developed economies as the U.K. are commencing to actively protect and promote it. In the third piece of news, we can read from CNN about the critical outage at Amazon Web Services that took place early last week. Because of it, for several hours, thousands of services were down, and millions of users were affected across the globe from the U.S. to Spain. Many of the services disrupted, ranged from online banking, electronic payments, shopping or the travel industry. It reminds us of how fragile the internet's backbone critical for multiple digital payment transactions is. It as well sets a clear message on -- to why a solid cash-based infrastructure is fundamental to assure the correct functioning for our economies. Lastly, we can read from the European Central Bank on some important lessons on the unique role that physical notes play across crises. It emphasizes the demand for banknotes has been amplified by sharp increases in public demand during major crises, highlighting the unique role and attributes of physical cash. Again, it's a Central Bank that handles the unique features cash brings to the system when it comes to assuring its reliability and its trustworthiness. These crises have occurred often in the past and seem to become only greater relevance and increased frequency as we advance towards an ever more uncertain future. All of the above news just underline that cash is strong and will become stronger in different regions of the world for its unreplaceable characteristics. After this brief news update, I'll share today's agenda. Firstly, Javier will review the periods highlights, then he will share with us the key financials for the quarter, followed by an update on our transformation initiatives. Then I'll share key developments by region. And finally, Javier will conclude with main takeaways before opening the Q&A session. Please, Javier?
Javier Hergueta Vázquez: Thank you, Miguel. Good morning to everyone, and thank you for joining our Q3 review. I want to highlight the key events that have taken place in the period, characterized by despite a strong currency impact a solid underlying performance that continues to allow us to keep deleveraging. Sales in euro terms reflect a 2.3% reduction when compared with the same period a year ago. This is despite the fact that organic growth has been sustained at almost 7% in the period, but such growth has been offset by an over 10% negative currency impact. This impact has been especially negative in LatAm and Asia Pacific, connected to the evolution of the U.S. dollar versus the euro. By regions, it is particularly outstanding to see the growth of our Asia Pacific countries by well over 20%. If we turn to profitability margins, we can observe that EBITDA stands at 11% of sales. It's important to indicate that the efficiency program we announced 3 months ago continues to take place. If we are to isolate these and show up our pro forma profitability, EBITDA margin stands at 11.8%, in line with the one experienced 1 year ago. As we travel down to P&L, we reached a net income of EUR 67 million that implies an improvement of 1.6% versus 2024. This signals that despite the efficiency program I just mentioned, and the effect of currencies in the top part of our P&L, the lower part is able to more than recover both aspects, showing the resilience of our performance. Turning to transformation, it now reaches 35.1% of total sales, this implies a growth in euro terms of 6.8%, at the same time as they accelerate their penetration over total sales by over 300 basis points. This certifies the very positive progression of our innovation strategy in order to have the most solid company into the future, and most importantly, how welcomed it is by our customers. Fourthly, free cash flow for the period totals EUR 76 million, which allows for a total net debt reduction of over EUR 60 million on a last 12 months' basis and enables us to maintain a stable leverage of 2.3x total net debt-to-EBITDA ratio. These figures clearly show the resilience of our business model, our ability to generate cash, and our strong financial discipline. Lastly, I'd like to underline that we have recently issued a EUR 300 million bond maturing in 2030 that contributes to an even more solid and diversified funding capacity into the future. Our offering has been well received by the market, confirming the trust bondholders place on our business model. In this line, and thanks to our prudent and disciplined approach, we can reassure well in advance the availability of financial sources to undertake the repayment of our existing EUR 600 million bond in February 2026. As well in terms of innovation, I'd like to share the launch of Prosegur Digital Gold last month. This is a very innovative solution that allows end customers to invest in tokenized gold with Prosegur assuring every single step of the process and that allows end customers to benefit from a 25% more efficient price than investing in physical gold. I will now turn to our key financials. First, I will review our profit and loss account. Revenue in this first 9 months of the year total EUR 1,488 million, a 2.3% reduction over the one achieved in 2024. As earlier shared, if we look at the top right-hand side of the page, we can see this decrease is driven by a negative foreign exchange impact of 10.5%, whilst organic growth has been positive of 6.9%, showing the health of the underlying business and inorganic growth contributes an additional 1.3% impact. EBITDA for the period reached EUR 251 million or 16.9% of sales, which is an 8.6% reduction over the one experienced 1 year ago, while EBITDA reaches EUR 164 million, 11% of sales or an 8.5% decrease over the one observed a year ago. Looking at the bottom right-hand side of the page, we can see that this profitability is impacted by EUR 12 million derived from the extraordinary efficiency program, which started in the second quarter of the year. Factoring this effect, the pro forma 9-month figure would reach EUR 176 million, which in relative terms represents 11.8% of sales, in line with 1 year ago. Financial results accounts for EUR 28 million, a substantial EUR 15 million reduction over the amount experienced 1 year ago, this reduction being a constant throughout the year. With this, we reached an earning before taxes of EUR 120 million being 8.1% of sales or 40 basis points better than the one achieved 1 year ago. This all, despite the already mentioned negative currency impact at operating level as well as absorbing the extraordinary efficiency program in place. Taxes totaled EUR 53 million, implying a 44.5% tax rate, which we aim to lower versus last year in the next quarter. With this, net profit reaches EUR 67 million, that is 4.5% of total sales, and a 1.6% improvement over the same period a year ago. I will review our cash flow as well as our debt. Starting from our EUR 251 million EBITDA affected by the already mentioned foreign exchange impact as well as the extraordinary efficiency program, provisions and other items deduct EUR 20 million, which is a EUR 5 million increase from the same period 1 year ago. Income tax outflow accounts for EUR 67 million, EUR 20 million over the first 9 months of 2024, which was particularly low. Investment in CapEx, in the first 9 months of the year totals EUR 51 million, which is a substantial EUR 16 million decrease versus 2024. This has been possible, thanks to lower openings in the ForEx business, as well as an active management of customer CapEx inventory. Investment in working capital to finance the close to 7% organic growth totals EUR 37 million. With this, we reached a free cash flow of EUR 76 million, which implies an improved conversion rate over EBITDA of 80%. Interest payments totaled EUR 18 million and M&A payments accounted for EUR 8 million in the period, a EUR 24 million reduction versus the previous year. Dividends and treasury stock reached EUR 8 million, EUR 22 million less than a year ago. Let me remind the dividend payment in 2025 will take place in the fourth quarter. The others line totals EUR 24 million, which is a EUR 5 million improvement over a year ago. With all these, total net cash flow is positive EUR 18 million, reflecting our strong CapEx discipline and our effective working capital control. When we add our free cash flow to the net financial position at the beginning of the period of EUR 643 million and deduct the negative impact of foreign exchange of EUR 9 million, it results in an end-of-period net financial position of EUR 634 million. Now looking at the top right-hand side of the page to the above net financial position, we have to add EUR 106 million of IFRS 16 related debt, EUR 14 million less than 1 year ago and EUR 113 million deferred payments, EUR 16 million less than in 2024. Taking into account, the treasury stock of EUR 16 million, EUR 10 million more than in the first 9 months of 2024, total net debt reaches EUR 836 million. This implies a very relevant total net debt reduction of EUR 62 million year-on-year. If we look at the leverage ratio, it is 2.3x over EBITDA, in line with the one we saw in Q2 2025, and continuing a very substantial improvement of 0.6x versus the one we had at the close of the third quarter in 2024. Our Transformation Products continue to grow in relevance and reached over 35% of sales at the end of the third quarter. Total sales derived from these products amount to EUR 522 million, a 6.8% increase over last year or EUR 33 million more if we talk in absolute euro terms. Penetration over total sales, as mentioned reached 35.1%, which is a 300 basis points improvement over only 1 year ago. And Cash Today and ForEx continue to be the key levers in our transformation growth. The fact that these products continue to grow only confirms how well they are received by our customers, how strongly they support them, and how relevant they are not only today, but especially to best position us into the future. With this, I would like to hand over to Miguel, so he can share our evolution from a geographical standpoint.
Miguel Ángel Bandrés Gutiérrez: Thank you, Javier. I'll now move on to reviewing the key highlights of our performance by region. Turning to Page 7, Latin America accounts now for 58% of total group sales. Sales in the region reached to EUR 855 million, an 8.2% decrease over the same period a year ago. It's important to note 2 very different effects that take place over sales here. On one side, we can see a very positive contribution of organic growth of plus 8%. This despite the evolution of the Argentinian economy that has been impacted in order to control hyperinflationary trends. As well the results of last week's -- weekend's midterm elections backed the macro initiatives of the governing President as we continue the above-mentioned measures to keep stabilizing the country. On the other side, this is more than offset by a negative impact of foreign exchange of over 16%, reflecting the evolution of currencies in the region linked to U.S. dollar, particularly effect has the Argentinian peso as well as and its effect on hyperinflationary accounting. The above-mentioned reforms should reflect in a more stable behavior of the Argentinian currency into the future. Despite the foreign exchange effect, it's noteworthy to underline the healthy growth of Transformation Products by EUR 12 million in the period or 3.8%, reaching EUR 323 million. The penetration of our total sales is of 37.7%, a very substantial 440 basis points improvement over the one observed only 1 year ago. As we already mentioned, it's important to remind that we've continued with our efficiency programs in the region throughout this third quarter. Turning on to Europe, which accounts for 1/3 of total group sales. Revenue in the period reached EUR 497 million, which is almost a 1% improvement over the one experienced in 2024. All of this growth in organic shows a slight acceleration of activity in Q3, which we estimate will continue into the fourth quarter. The evolutions of the business in the region has performed in line with the macroenvironment. As well, we must signal the Transformation Products continue to show a very strong delivery, achieving sales of EUR 165 million in the period, that is a 3.5% increase over the one reached a year ago, and with the penetration of our total sales reaching 33.1%, an 80 basis point improvement over 2024. And now turning on to Page 9, we can observe the behavior of our Asia Pacific operation, which accounts for 9% of group sales. The countries in the region continue to provide strong growth. Sales have totaled EUR 136 million in this first 9 months of the year, a 37.3% improvement over only 1 year ago. We should highlight that inorganic accounts for 19.4%. Foreign exchange has a negative impact of 6.2%. And most importantly, organic growth continues to be very strong in this case, 24.1% over the one experienced in 2024. As well, the performance in the region of Transformation Products has been very good, totaling EUR 35 million in the period, which is an 82.2% growth over 2024. The growth of Transformation Products has been fundamentally backed by a very good performance of both Cash Today solutions and the ForEx business. The region is quickly converging towards the group's average and now Transformation Products, despite the strong growth of the core underlying business, accounts for 25.5% of total sales, that is an improvement of 630 basis points. Thank you very much for your attention, and now I hand over for Javier to conclude.
Javier Hergueta Vázquez: Thank you, Miguel. As said, I would like to recap the key points to underline in these first 9 months of the year. First, I must flag that our results continue to be affected by the evolution of currencies, particularly the Argentinian peso, as we noted earlier, despite which we continue to deliver on our deleveraging strategy, showing the resilience of our business model. Overall sales have declined by 2.3%, noting a negative currency impact of 10.5%, which more than offsets a positive organic contribution to growth of 6.9%, showing the strong support our customers have for our solutions. In terms of margins, EBITA stands at 11% of total sales. Here, we must remind that we continue with efficiency programs that we started in Q2 to which we have added an additional EUR 7 million in Q3. If we look at margins on a pro forma basis, we can see that they stand at 11.8%, the same level at which we were 1 year ago despite the above mentioned negative foreign exchange impact. Relevantly, we can see that our net income totals EUR 67 million, 1.6% better than 2024 and showing how resilient the bottom part of our P&L is. Transformation, as we have seen, continues to be very strong, showing customers adopting our innovative solutions in a growing manner. Having grown by 6.8% in the period, they now account for 35.1% of total sales, which means a 300 basis points increase in penetration over 1 year ago. In terms of free cash flow, we reached EUR 76 million in the first 9 months of the year, which enables us to reduce our total net debt by EUR 62 million on a last 12-month basis. This cash generation as well enables us to maintain a stable leverage at 2.3x total net debt-to-EBITDA ratio, which is well within our comfort range. The resilience of our business model as well as our commitment to financial discipline, have enabled us to successfully issue a EUR 300 million bond recently, allowing us to finance at a very competitive rate, and giving us ample flexibility towards our future in a very comfortable manner. Lastly, as I said earlier, I wanted to share the launch of Prosegur Digital Gold, a very innovative solution that is a clear example of the many growth venues we have into the future. Thank you very much for your attention. And now I would like to open the floor to any questions you might have.
Operator: [Operator Instructions] The first question comes from the line of Enrique Yaguez from Bestinver Securities.
Enrique Yáguez Avilés: Most of my questions will be focused on the organic growth deceleration suffered this quarter. First of all, I would like to potentially confirm that the significant deceleration in LatAm is mostly related with Argentina. And if so, I don't know if you could provide how was Argentina performing organically in the third quarter? And also if you could provide feedback about October [ figure ] for this country and for the area? And also I'd like to know if there are any other countries potentially suffering such a strong deceleration in organic growth in LatAm? And finally, I know that Asia Pacific is performing quite strong organically, but we also see some deceleration. Any comments on this regard? And finally, about the restructuring plan in LatAm, just to confirm that it's mostly over?
Javier Hergueta Vázquez: We'll take the questions one by one. So in terms of the organic growth in the LatAm region, I mean the figures that you're seeing in the quarter reflect a deceleration in the core figures. But I think that as you pointed out, there are 2 realities here. So we have Argentina, on a special situation, and then the rest of the countries. In that line, if you exclude Argentina out of the picture, the organic growth in the region in Q3 keeps at solid mid-single-digit levels and accelerating in the quarter itself. So we are experiencing a pretty good performance quite across the board in all the regions, in all countries. And in Argentina, we have some special circumstances, as you are may be aware already, the inflation in the country has lower significantly. And on top of that, I mean, to make that happen through severe adjustments by the programs implemented by the government, consumption is also quite low. So putting those 2 together, the activity level is now lower. On top of that, and for some transitory period, there has been a very cautious approach in the behavior of the people pre-elections. So they are pretty much -- or they have been pretty much in a wait-and-see mood. So that has kept the economy quite stopped for a while. And on top of all that, there has been a strong FX devaluation, so much higher than inflation. So in euro terms, it looks even weaker. So that's the kind of situation that we have been seeing in Argentina throughout the quarter. October, I mean it's not very different from that, because the elections just took place last week. So most of the month was on that wait-and-see mood. What we would expect going forward is that, on the one hand, the results of the election will be backing Milei's programs and his views and the reforms to be undertaken. So that should be helping them accelerate the implementation of the reforms. And then you have the U.S. support on the other hand, which should also help from an FX perspective. So we will be expecting a strong rebound in the Argentinian macro for 2026. I mean, partially, we could start seeing part of that in Q4 this year, but mainly in 2026. So that should help improve the performance of our Argentinian business going forward. That's what we will be expecting ahead of us in the near future. With regards to AOA, well, I mean, the region keeps performing very solidly at double-digit growth rates despite the comparison base. If you recall at the earlier part of the year, we mentioned that there were very abnormally high organic growth, because of some of the new airports openings taking place in the second half of 2024. So now the comparison base reflects a more realistic performance, which is still at a strong mid-teens. So, we will expect to see that trend going forward. And then with regards to the restructuring program, it's mostly done already. We are now executing a smaller tail of it. So that will be marginal to what you have seen in the figures that we've posted today. So that will be maybe a couple of million more or so, but marginally lower compared to what we've seen. And as we said last time, so this is a project that will generate paybacks in the next 18 months or 18 months from the date of execution. So we should start seeing gradually the effects of that throughout the coming quarters itself.
Operator: [Operator Instructions] The next question comes from the line of Alvaro Bernal from Alantra.
Alvaro Bernal: I just have one, since the majority have already been answered already. Regarding the free cash flow, you have posted a year-to-date quite contention regarding CapEx and working capital. I just wanted to know your views for the future in this particular metrics. So CapEx, will we see cuts going into 2026? Or will we go back to the previous ranges we saw in 2024? And the same with working capital?
Javier Hergueta Vázquez: In relation to the free cash flow figures that we've seen and more precisely on the CapEx and working capital figures. First, taking the CapEx, I think this 2025, there are 2 things that are explaining the variation in the figures versus historical figures. One is that we have less openings in the ForEx business than what we had last year. So that is one of the 2 levers. And the other one is that we have undertaken a significant efficiency program in the inventory of our current CapEx related assets. So those 2 will not be the rule going forward. So we will expect to have some openings in the ForEx business, maybe not as much as we had in 2024, but there will be some openings in 2026. And this inventory rationalization that we were mentioning will be just something that has taken place this year, but it's not to be extrapolated going forward. So for 2026, we could expect CapEx figures to be more in line with what we've seen in previous years. With regards to working capital, I mean, when you look at the figures that we are posting, you have to take into consideration. First, there's lower organic growth in the period, as we mentioned, especially because of the Argentinian situation with lower inflation quite across the board. And on top of that, we have very strong focus on the DSO management itself. I would say that going forward, I mean, if the FX tends to normalize more, we could see similar mid-single digit growth in euro terms, but with lower working capital consumption, because that is created in local currency terms. So if we have lower inflation across the board, that will typically generate lower consumption in terms of working capital in local currency terms in -- locally in the countries themselves. So I would say that the most realistic view would be some lower working capital consumption in 2026 and going forward, compared to what we've seen in the past, especially from this normalized inflation scenario that we have foreseen.
Operator: [Operator Instructions] There seems to be no further questions. I would like to hand back for closing remarks.
Miguel Ángel Bandrés Gutiérrez: Well, thank you. Thank you all for taking the time and joining today's conference call. Anyhow, as usual, should there be any further queries you know that our Investor Relations team remains available for you. And otherwise, let's speak again in our full year results presentation in February. So have a nice day all of you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.